Trevor Schauenberg: We are pleased to host today’s webcast. Regarding the materials for this webcast we issued the press the press release earlier this morning and the presentation slides are available via the webcast. The slides are also available for download and printing on our website at www.GE.com/investor. We will have time for Q&A at the end of the presentation. As always elements of this presentation are forward looking and are based on our best view of the world and our businesses as we see them today. Those elements can change as the world changes. Please interpret them in that light. For today’s webcast we have our Chairman and CEO, Jeff Immelt, and our Vice Chairman and CFO, Keith Sherin. Now I’d like to turn it over to our Chairman and CEO, Jeff Immelt.
Jeff Immelt: Going to the first page on the overview I think GE had another solid quarter. The global environment is improving but we’re expecting a gradual recovery. For the quarter we earned $2.5 billion, $0.22 per share, down 51% really driven by Capital Finance. I think the good news is the industrial segment profit was up 4%, Infrastructure, Media and C&I all had positive earnings. Capital Finance was positive at $263 million down 87% basically driven by favorable tax credits as expected. We had aggressive cost out we had another $0.05 per share of restructuring and other charges in Q3. I think particularly noteworthy was solid execution in the quarter. We had cash flow of $4.4 billion. Our year to date CFOA is now $11.5 billion up 1% and we’re positioned for greater than $15 billion of industrial CFOA for the year. We’ve got lots of cash on the balance sheet; we had really substantial margin expansion up 260 basis points. Our infrastructure orders declined by 18% but backlog increased and we had good orders growth sequentially. Capital Finance reserves continued to expand in the quarter. We’re still investing in the long term. Our R&D spend is tracking to be higher in ’09 versus ’08. We did several small acquisitions and we continue to invest in the long term growth of the company. The environment has definitely improved in the third quarter. We had a couple factors as we entered the year, a dramatic financial crisis, that’s definitely better. The credit markets are improving. Pricing on new lending is attractive. Losses still remain high. Keith will go through that in a bit here. We expected a difficult recession. I think that’s really bottomed. We see signs of life. The appliance market improving sequentially, orders strengthening, scatter pricing at NBC better, delinquencies are leveling off. There’s still a lot of excess capacity and we’re going to deal with high unemployment. There is global growth. The emerging markets remain relatively strong and there’s growth out there to be had. The environment definitely improved in the third quarter. Earlier in the year we set out on some key priorities to execute as we went through this recession. The first one was to stabilize Capital Finance. We think our funding is well ahead of plan, our capital ratios are improving, we’ve got good margins, and we’re going to work through a difficult real estate cycle. All the other businesses in GE Capital are profitable except for real estate and that’s the one we’re really going to have to work through. We wanted to outperform in a touch economy by focusing on backlog and services, getting global market share, expanding margins, and that’s really performing as expected. We wanted to strengthen the balance sheet through strong cash generation and to maximize financial flexibility. We’d say that’s much improved versus where we were in previous this year. Turning to GE Capital, we really have made significant progress to make GE Capital safe and secure. We’ve shown this chart to you on a repetitive basis this year. On long term debt funding we basically have pre-funded almost all of 2010, we feel great about that. Our commercial paper at GECS is really at our goal of $50 billion. Our leverage continues to decline. In the fourth quarter ’08 we were at $7.7:1 leverage we’re now $5.7:1 billion. All of our ratios have improved. Our Tier 1 common ratio is now at 7.5%. Importantly the equity at GECS has increased to $71 billion. We’ve been able to shrink GE Capital ahead of plan. We now are putting out there an even more reduced balance sheet plan for the fourth quarter. This has a negative impact on GE Capital revenue but we think it’s really consistent with our strategy and approach. So strong execution through the crisis ahead of plan on all metrics. Looking at the Industrial side I think some good news in that our backlog grew by $5 billion in the third quarter. If you look at equipment, our orders improved about $700 million sequentially quarter over quarter. Our service orders were up 3% driven by strength in Energy with Smart Grid and our backlog in services grew by $5 billion. We think that the trend on orders, particularly equipment orders will be up sequentially from the third quarter again in the fourth quarter. When we look at our backlog and what’s in our funnels. We really do look at the second quarter as potentially the low spot on equipment orders. Keep in mind that these results don’t include some big commitments we received in Energy in Kuwait and aircraft engines with American Airlines. I think when you look at a total backlog of $174 billion that should give our investors I think some comfort in terms of the visibility we’ve got for the future. We continue to focus on Industrial revenues. Last December we set out some key initiatives and key priorities as we went through this year. The first one was to protect backlog. The backlog is up $4 billion versus the beginning of the year. Cancellations remain extremely low and again we think this is a great job done by our commercial teams. We wanted to focus on growth in emerging markets and this shows you some progress we’re making in China, India, and Eastern Europe. We’re winning big orders in the Middle East and we continue to think that emerging markets represent real strength for the company going forward. We’re launching more new products in 2009. Our R&D spend is up. We feel good about our share position overall. We’re extending product lines, we’ve got big initiatives in healthcare and clean energy, we’ve got some new product launches that are gaining hold and growing our adjacencies. This continues to be a big focus. The stimulus really hasn’t shown up yet. We expect to ramp up in the fourth quarter and 2010. You’ll see in the fourth quarter some wind commitments coming out of the stimulus. We have more orders in the funnel on Smart Grid. Healthcare IT we expect to pick up in Q4 and some big global rail projects that are funded by other governments we’re quite encouraged about as well. I think importantly the services model remains in tact because services is solid. The backlog of CSAs continues to grow, our margins continue to expand. We had nine new aviation CSAs in the quarter. Healthcare is growing as service business in China and India. Oil and Gas service backlog has grown and even in Transportation we’re seeing some of the segments have some upward trends. Total backlog is at $174 billion it’s a record high. We’ve got good visibility on those backlog orders and we feel good about how we’re positioned. We’ve continued to execute well in 2009 and we think we’re well positioned for 2010. Our margins grew by 260 basis points in the quarter up to 16.3% and they grew across all the major segments. We had contribution margin rate expansion, a positive value gap of price versus cost, service margin expanded. Keep in mind that we did have 100 basis point expansion by no repeat of the Olympics but even without that this was excellent performance by the teams. We’re on track for growth for the year. We continue to reduce base cost. Throughout the year we’ve done significant restructuring to date and our third quarter base costs were down 10%. We’ve got more ideas for restructuring. We’ve got a funnel of about $2 billion plus on ideas all with a two year payback. We announced some in the third quarter in lighting and transportation. We’ve got another $700 million being reviewed for potential fourth quarter and 2010 execution. We think this gives us some good momentum going into 2010. Lastly, Industrial cash flow is a big highlight for the company in the quarter. We generated $4.4 billion of Industrial CFOA in the quarter. It puts up 1% in Industrial CFOA year to date. This strong focus we’ve had at working capital is really working throughout the company so we feel great about that. In terms of where we stand, we’ve got consolidated cash of $61 billion on the balance sheet right now. Importantly I think when you look at our quarterly CFOA less the reduced dividend it allows us to grow the cash at the parent substantially quarter after quarter after quarter which we think is quite appealing for the company as we go forward. CFOA is on track for greater than $15 billion for the year. I think last December we said we’d be between $14 and $16 billion. We think this really speaks well for the execution of the team and positions us well for the future. With that let me turn it over to Keith to go through the third quarter performance.
Keith Sherin: I’d like to start with a summary of the third quarter. On the left side is the summary for continuing operations. Revenues of $37.8 billion were down 20%, that’s as we expected. Industrial sales of $25.1 billion were down 13%. You saw in the press release organic growth on Industrial was down 9%. Financial Services revenue at $12.7 billion down 30%, I’ll explain more of that when I get to the Financial Services page. We earned $2.5 billion in net income which was down 45% and for Earnings Per Share we earned $0.22 that does include the cost of our preferred dividend. As Jeff covered, total cash flow from operations activities was $11.5 billion which was a great results through the three quarters. In terms of taxes I’ll separate this between the GE and GE Capital rates. The GE rate for the quarter at 22% is down about six points over last year due to higher global benefits from our lower taxed European operations industrially. Year to date the GE rate is 26%, that’s somewhat above our current estimate of a GE tax rate of a low to mid 20’s for the year. We would expect a lower GE rate in the fourth quarter to bring the total year down to that level. For GE Capital because there’s a large tax benefit and a pre-tax loss this is a negative divided by a negative we have a high positive rate for the quarter. The larger tax benefit in the quarter is mainly due to lower pre-tax income. If you look year over year GECS pre-tax income is down $2.6 billion and at a regular tax rate that’s $900 million of lower taxes which more than explains the change in the rate in the quarter. The credit in GE Capital drives the consolidate rate to -7% third quarter year to date. On the right side you can see the segment results. Our Infrastructure businesses had $3.3 billion of segment profit which was flat with last year. NBCU segment profit was up 13%. I’ll explain the benefits for the A&E transaction on the next page. GE Capital finance earned $263 million including the favorable tax credits and C&I had a nice quarter $117 million of segment profit more than double last year. Overall segment profit was down 26% and the difference reflects the restructuring completed at quarter between the 26% and the 45% in earnings. Let me go into the details of the businesses in a few pages. Before I get into the businesses I’ll just cover some of the third quarter items that impacted our results. First we had $0.05 of restructuring and other charges that were recorded in Corporate. We continue to invest in lower our cost structure and the pre-tax charges were aligned by business as follows. It’s not the on the page I’ll just give you some of the numbers. Tech Infrastructure was $234 million of lower cost programs. C&I $161 million continued restructuring, a lot of work on reducing our incandescent footprint. Energy infrastructure $77 million, Capital Finance $57 million, and the balance was in Corporate. The second item we had $0.06 of marks after tax markets and impairments in GE Capital. If you look at the details the largest items we had $0.02 of impairments in our commercial real estate business, we had $0.01 in GECAS and our annual evaluation review, we had $0.01 for additional FGIC write offs where basically the FGIC investments are down to somewhere around $15 million now. We had $0.01 in treasury and effectiveness in the quarter. Finally, NBCU we had some plusses and minuses in NBCU. First we did realize a gain from the sale of a little more than a third of our ownership stake in A&E. A&E as you know combined with Lifetime in the quarter and that gain was $283 million after tax at the GE level. That was partially offset by a write down of first NBC stake in NDTV which is an Indian entertainment investment. We also had our share of an impairment on the value of the Weather Channel plus we had some programming asset write downs. The net impact of those items was $89 million positive after tax included in the NBC segment results. That’s $0.01 positive on the net of the four items. Year to date through Q3 we’ve executed $1.9 billion of restructuring as Jeff said and we continue to reduce our cost structure going forward. I’ll start with a few pages on Capital Finance. Mike Neal and the team continue to execute well in a very challenging environment. For Q3 the revenues of $12.2 billion were down 30% that’s driven by our assets being down $70 billion year over year. Its also driven by the impact from deconsolidating Penske which was about six points of revenue decline in the quarter and we also had lower revenues because we had lower gains principally in real estate and also from lower interest rate with our floating rate book. Capital Finance earned $263 million that was down 87% driven by the higher credit costs, I’ll cover that in more detail, lower gains and the impact of shrinking the business. I’m going to start on the right side then I’ll cover the businesses. Our most recent update was July 28th and from that meeting a few of the key categories of items we covered. First funding, our funding is in even better shape. Jeff showed you we’ve now completed about 90% of our pre-funding for 2010 which is great to have done. We need to do less than $5 billion for the remainder of this year. When you look at the profile going forward right now if you go back to the July schedules we’re only planning on doing $20 billion of long term debt in all of 2010. The funding is in great shape. Originations continue to be attractive. We underwrote $7 billion of commercial volume in the third quarter at about a 3/3 return on investment so that continues to remain very positive. Losses third quarter year to date losses and impairments are $9.3 billion and if you just annualize that rate they would be about $12.3 billion or about $700 million lower then the Fed base case we presented in March. I’ll cover real estate in separate page. We increased loss reserves $757 million in the quarter and our coverage is up over 2%. We continue to be ahead of our plan in all of our cost out metrics. We started the year as you know with a target of over $2 billion and we’re tracking close to $3.7 billion for the total year for cost out. A few comments by the businesses on the left side. First our Consumer business delivered $434 million in net income that’s down 45% that’s driven by the higher credit costs. A few of the pieces, North America private label credit card business earned $118 million even with $6.5 billion of lower assets year over year. Our global banks earned $151 million despite higher credit costs and our restructuring operations including the UK home lending earned $125 million in the quarter. Our real estate business obviously had a very tough quarter; we lost $538 million versus earning $244 million last year so this explains the biggest decline in our earnings. We had $559 million of pre-tax credit costs and another $285 million of pre-tax marks and impairments. The majority of the credit costs are for reserves strengthening versus losses and reserves were up $458 million from Q3, I’ll cover more on real estate as I said in a few pages. Our Commercial Lending and Leasing business earned $135 million which was down 65% again as a result of higher credit costs and lower core income as the assets here are down $34 billion versus last year. GECAS had another strong quarter they earned $191 million and that included the impact of the third quarter impairments of $74 million and we ended the third quarter with one aircraft on the ground so the portfolio remains in good shape. Energy Financial Services earned $41 million down 87% from last year driven by lower gains. Two final points on GE Capital in total before I flip the page. First, we’ve had a lot of discussions about GE Capital during the last four months because of the proposed regulatory changes. As you know, there’ve been a lot of positive developments in this area and we’re highly confident that GEs ownership of GE Capital will be grandfathered. However, those discussions led to questions around whether GE had a strong enough commitment to GE Capital. The explicit commitment that GE has with GE Capital is the fixed charge covenant agreement. During the last year we received questions about whether GE or GE Capital could terminate that agreement at any time, whether the three years was long enough. Based on our analysis of the agreement and a review of other company’s agreements we are modifying the fixed charge covenant agreement. We’re going to extent the term to five years from three and we’re putting in a clause that over 50% of the long term debt holders would have to approve any future negative modifications for that. We think these changes appropriately address any concerns regarding our strong commitment to GE Capital so we’ll put out some information about that to give you the words of how we’re modifying the agreement. The last point is that in our continued commitment to transparency we’ve scheduled another GE Capital update. Right now we’ve got it on December 8th and Trevor will get the details out to everyone. A little bit about the portfolio quality on non-earnings. On the left side as the Commercial Equipment finance data 30+ day delinquencies for the Equipment businesses are up 23 basis points in Q3 versus Q2. We saw increases of 37 basis points in the Americas and core mid-market accounts. That’s partially offset by lower delinquencies on 30+ in both Europe and Asia. If you look, the Commercial non-earnings were up 41 basis points again that’s driven by the mid-market accounts where we have collateral coverage. I’ll cover more on non-earnings in two pages. On the right side is the Consumer data. This continues to develop into the two different stories based on the type of exposure, the mortgage and the non-mortgage. We broke out these two types because the loss dynamics are so different were secured on the mortgage side. For 30+ delinquencies you can see the delinquencies have leveled off for both mortgage and non-mortgage which is good news. Non-mortgage delinquency is driven by North America which was up 31 basis points in the third quarter that’s about half the normal seasonal increase we usually see from 2Q to 3Q. In the UK 30+ delinquency actually declined 9 basis points to 24.7% on the mortgage book so that’s still a high level but at least the trajectory has changed. We continue to see improvements in home prices in the UK and we’re realizing gains versus our marks on the properties we repossess and sell. For Consumer non-earnings the actual dollars are down about $100 million versus Q2 at $6.5 billion however the percent is up slightly as the consumer assets are down slightly. Next is an update on reserve coverage. We had another good quarter for reserve strengthening. Our provision for loss was $2.9 billion in Q3 and with the write offs flat in Q2 we increased our reserves by $757 million in the quarter. You can see that both Commercial and Consumer increased the reserves. The reserve increase in Commercial was $593 million about $415 million of that was Commercial real estate. Overall the coverage increased by 30 basis points versus the second quarter. For Consumer the reserves were up $164 million and coverage went up 20 basis points. For mortgages in the consumer book the coverage is also up and we’re realizing 115% proceeds versus our foreclosure marks on the real estate that we own in the mortgage book. Though continued strengthening of reserve levels another good coverage up over 2%. Next is an update on non-earning assets and reserve coverage. Theses are the same charts that Jeff Bornstein CFO from GE Capital covered in March and July at the update meetings. Since we’ve used these several times this year I’m not going to go through all the bars on the charts but I thought I’d just cover a few of the points on the update. On the left side for Commercial our reserves at the end of Q3 are up to 189% coverage on our estimated loss exposure. Again that’s up from 173% in Q2. We continue to track and analyze the actual results versus our estimates for recovery and our assumptions continue to hold as we update the actuals each quarter. On the right side we continue to have almost two times coverage on our non-mortgage loss exposure so principally the private label credit card and other unsecured consumer loans. Our mortgage reserves are up to 206% of the loss exposure versus 173% in Q2. Jeff will cover more of this again in detail at the December 8th update. Finally, an update on Commercial Real Estate. I already covered their earnings in the quarter but here’s more information on the business. On the left side is information about the debt book 30+ delinquencies on the debt book are up slightly to 4.19%. This is right in line with other bank real estate portfolios if you exclude the impact of development and construction which we don’t have. Non-earnings of $1.3 billion in real estate debt were flat from Q2 to Q3. In the third quarter we performed evaluation review of our entire debt portfolio using relevant third party data. The result of that review was an increase in specific reserves of $562 million. If the loan to value is more than 100% and there’s a refinancing event in the next 24 months we basically put up reserves at 100% loan to value level, even if the property is current and cash paying. Though for 77% of the loans which we reserves in 3Q the properties are paying current. If you look at the total debt service coverage for the total portfolio it’s about 2.5 times and with the reserve increases this quarter our coverage went up to 2.3%. On the right side some of the metrics for the Equity book third quarter net operating income is in line with our original outlook close to $1.2 billion 3Q year to date. We have had some gains in the year but they are below plan. In the third quarter we sold 72 properties for an after tax gain of $51 million but that’s clearly less then last year. Impairments are running about plan as I said we had several hundred million dollars of impairments in the real estate book in the quarter. Occupancy is in line with our estimates and the team has done a good job of re-leasing space. In the third quarter we had 7.3 million square feet expire and we re-leased 7 million of that in the quarter. Overall if you look at the real estate business our total credit losses and impairments are $1.5 billion through three quarters and if you look at the segment its tracking closer to the Fed adverse case but again well within the boundaries of what we laid out for the risk in real estate and the potential losses in the March stress case. Feel like the team is operating pretty well in a pretty tough environment and risks are understood and manageable. I’ll shift out of Capital now and cover the other businesses. First is NBC. For the quarter revenues were $4.1 billion were down 20%. We’re comparing to last year which had over $1 billion of revenues for the Beijing Olympics so if you adjust for the Olympics revenues were basically flat year over year. Segment profit of $732 million was up 13%. In the first and second quarter we showed you the reported variances were not as bad as they looked for Q3 I’ll adjust for the gain that goes the other way. On the box on the top right you can see our reported V of 13%. If you adjust for the net benefit of the A&E Lifetime transaction gain in impairments which I covered on the third quarter items page the operations variation would be down 9% in the third quarter. In terms of going around the business performance I’ll start with Cable. Cable just continues to perform extremely well. The revenue is $1.2 billion we’re up 8%. Op profit of $552 million was up 11%. USA led the way as the number one cable channel for the 13th consecutive quarter; they had strong revenues and profit growth. Syfy, CNBC, Bravo were also all up. If you go to Broadcast, revenues at $1.4 billion were flat ex the Olympics last year and op profit was up about 4% ex the Olympics. Four weeks in the Jay Leno Show is exceeding our ratings estimates are our Conan and Fallon so we’re happy with the 10 o’clock and the late night performance. We’re three weeks into the new season and our prime ratings are on our estimates and as Jeff said, fourth quarter scatter is up double digits in prime and up over 20% on Cable so that does show some signs of life as he mentioned. On the right side Film business had a very tough third quarter. Revenues at $1 billion were down 20% and op profit was off by over $120 million. We had tough comparisons to last year plus less than expected box office performance this year. The parks were down 14% in op profit as expected in this environment. Finally on Digital, hulu continues to perform it was the number two video site in the quarter. I covered the impact of the gain in the impairments that we had in the business. If you look third quarter year to date NBCU reported op profit of $1.7 billion down 27% in line with the industry. Next is Technology Infrastructure, John Rice and the team delivered revenues of $10.2 billion down 11% and segment profit of $1.7 billion was down 8%. You can see the business results on the bottom left the quarter was driven by another strong result in Aviation offset by continued pressure in Healthcare and Transportation. Aviation, I’ll go through some details, the third quarter orders of $4.5 billion were slightly ahead of 2Q they were down 19% year over year. Major equipment orders of $1.9 billion were down 37%. We had $1 billion of commercial engine orders and $900 million of military orders. The strong backlog here continues to bode well for the future. The major equipment backlog ended the quarter at $20.7 billion it’s only down 1% versus last year and down 3% from Q2. Service orders in total were up 1%, the commercial spares of $18.6 million a day were down about 8% and this was offset by a parts distribution order we had with AVO to get the total orders up and commercial overhauls were down 4% in the quarter. Revenue was down 6% we shipped 456 commercial engines which were down 16% partially offset by 253 military engines which were up 38% a similar profile to what we’ve had all year. Service revenue was down 2% reflecting the impact of lower spare shipments. On that, revenue op profit was up 16% we had four points of margin growth here driven by pricing which was up 4% and services productivity which was partially offset by the lower volume that I mentioned. As we look forward with the slowing service rate, orders rates and the lower engine deliveries we wouldn’t expect to continue to outperform at these levels but they’ve had a great year so far. Healthcare reported orders of $3.9 billion were down 9% down 7% organically. You can read about this everyday about the pressures in the healthcare market. Equipment orders were down 13%. In the US the orders on equipment were down 21% and non-US the orders were down 8% or 4% FX adjusted some impact from the dollar in the quarter. The pressure was pretty much across all the product lines; CT, MR X-Ray, Healthcare IT, Clinical systems were down double digits. Life sciences was flat and services was up 5%, if you exclude the HCIT impact. China DI orders were a bright spot up 28%. With those orders revenue was down 95, equipment was down 11% and services were down 6% but flat organically. Op profit of 508 was down 20% driven by the lower volume, some price pressure and negative productivity. When you look at the environment here between the economy and the legislative uncertainty this just continues to be a really tough healthcare environment. We are going to have an analyst meeting we’re pulling up the RSNA meeting and it will be held in New York City next Tuesday and Trevor and Joann can get you the details on that. We’ll have a nice review of the healthcare business next week. For Transportation, third quarter orders of $637 million were down 38%. Equipment orders remain very challenging on the North American rail roads have significant overcapacity still about 5,000 locomotives parked. That does impact service orders which were down 43% and in the quarter revenues were down 23% driven by both equipment revenue being down and service revenue being down. Op profit was down 31% driven by those volume declines. The entire Tech infrastructure segments really executing a strong cost out program in a tough environment. One other bright spot about this if you break out the services businesses here service op profit was up 10% for the segment in the quarter. Finally, energy, John Krenicki and the energy Infrastructure team had another very strong quarter. Revenues of $8.9 billion were down 9%, segment profit of $1.6 billion was up 11%. You can see the business results on the bottom left for both energy and Oil & Gas delivering double digit growth. Energy had $6.5 billion of orders they were down 25% versus last year but flat with Q2 and equipment orders if you look quarter over quarter from Q2 to Q3 they were up 15% so it reflects the dynamic that Jeff talked about on orders. Thermal orders of $1.1 billion were down 46%. We received orders for 23 gas turbines versus 33 last year in third quarter. That included 15 units for the Iraq order about $600 million we still have 25 more units to book for the Iraq order which is probably going to be in 2010. Thermal backlog at $7.1 billion is down 1% from Q2. Wind, we had a $1.3 billion of orders that’s down 43% but again up 2.5 times from Q2. The Wind backlog stands at $3.8 billion. The good news in the third quarter the stimulus investment tax credit guidelines were finalized and that will help with new wind orders as we look forward. Service orders were up 9% driven by Energy Services up 16% partially offset by Water & Nuclear service orders which were down 5%. Revenue for the business was down 11% driven by that lower thermal volume. We shipped 16 gas turbines in the quarter versus 50 last year but pricing was up 4%. We shipped 935 wind turbines versus a little over 1,000 last year with pricing up 5% and service revenues were up 9% driven by the growth in contractual services and transactional sales. Op profit was very strong up 11% driven by that strong pricing and services growth, partially offset by the lower equipment volume. Oil & Gas also had another solid quarter. Oil & Gas is seeing some good pick up in orders; orders of $2.1 billion were up 1% up 7% when you adjust for the impact of the exchange. Equipment orders of $1.3 billion were up 6% and up 13% ex FX driven by $500 million of L&G orders for the Gorgon project in Australia. We’re seeing a lot more discussion about large orders in L&G segment so that’s good news going forward. The equipment backlog of $6.9 billion was up over $400 million versus the second quarter. Service orders were down 5% but flat ex FX. Revenues in the quarter were up 3% driven by strong volume. We had good petro chemical and refinery equipment deliveries and service revenues were down 2%. In total the op profit was up 11% driven by that volume growth and the price. Overall another great quarter from the Energy Infrastructure team. With that let me turn it back to Jeff.
Jeff Immelt: Now returning to the 2009 framework just recapping where we are year to date. If you look down the list, Infrastructure which is both energy and Technology put together year to date are up about 3% in line with really our expectations and we continue to have good backlog and service strength in that segments. NBCU has been performing in line with their industry but below our original expectations. We said that GE Capital would be profitable for the year and third quarter year to date we’ve earned $2 billion. C&I is actually better than expectations. We expect strong positive growth in both 3Q and 4Q. If you look at third quarter we’ve earned $0.75 while substantially restructuring and investing in lower the costs of the company. We plan to do more restructuring in fourth quarter. We are executing well against our framework and we want to keep improving our position for 2010 and beyond. To summarize on the last page, the global environment had definitely improved, it’s definitely gotten better. We’re expecting a gradual recovery but we see more interest in even long cycle orders today and things like that so the fuel is definitely better. Overall we’ve got very solid operating execution versus our outlook for this year. We dramatically strengthened funding and balance sheet at GE Capital. The GE Parent is really accumulating cash and the work we’ve done on industrial cash has been significant. We really feel great about achieving our safe and secure objective that we had really set out earlier in the year. We’ve got a highly valuable, $174 billion Industrial backlog. I think the service model is really standing the test of time through this down cycle and equipment margin expansion has really been proven throughout this year. We’ve got capital available to play offence and we will continue to invest for long term growth. I think we’re well positioned for the environment that we expect for 2010 and beyond. With that Trevor let me turn it back to you and let’s take some questions.
Trevor Schauenberg: We’re ready to take questions from our audience now.
Operator: (Operator Instructions) Your first question comes from
Operator: Your next question comes from Steve Tusa - JP Morgan
Steve Tusa - JP Morgan: A question on some of the details on GE Capital. Do you guys have the interest income number handy from the income statement? I know we don’t get the breakdown of revenues until the 10-Q but just wondering if you have that number.
Keith Sherin: I’ll give you that in the 10-Q.
Steve Tusa - JP Morgan: You talk about the $700 million of improved margin going forward. How quickly should we expect that to work its way through the income statement? I’m wondering what are the net interest dynamics that we should expect as this freshly priced book rolls on over the next year and a half.
Keith Sherin: The $700 million you’re referring to in the chart that’s actually the cost to carry the extra cash we’re carrying, that’s a positive. That’s the quantification of the cost of having this extra cash in advance.
Steve Tusa - JP Morgan: You mentioned 3.3% ROI how quickly do we start to see that because clearly revenues were weaker this quarter that may be been impairments or losses but I’m just wondering how we should think about the interest margin going forward.
Keith Sherin: You’re going to continue to see that on a quarter over quarter will continue to be under pressure. When we’re underwriting $7 billion in new commercial volume at 3.3% ROI against the commercial book of $300 billion of assets it’s going to take a while for that to blend in and have a positive. We do expect to continue to see pressure on net interest margin for the foreseeable future. I don’t know when its going to turn but it’s a positive in terms of new pricing we’re putting in but if you think about the magnitude of it it’s going to take a while for it to have an impact.
Steve Tusa - JP Morgan: Moving parts and real estate from the loss you had last quarter to the loss you had this quarter is that all impairments or is there something else that was pressuring that number?
Keith Sherin: If you look at the real estate page that I went through there were two components. First we did have a couple hundred million dollars of impairments and the second is we had about $550 million of increased reserves. As I said, we went through a complete review of the debt portfolio in the quarter. That happens twice a year in the first and the third quarters. I think we’re through that for the fourth quarter for the debt portfolio we’ll have to see as we look at the total value of the equity portfolio in the fourth quarter what that does for impairments. I think the reserves that we posted in the third quarter would have been extraordinary or above the normal run rate is just based on the fact that its 100% review property by property using new third party assumptions and obviously updating from the first and the third quarters the environment didn’t get better in that period.
Steve Tusa - JP Morgan: You guys didn’t mention the guidance for new equipment revenues next year down 10% to 15% are we still sticking by that or anything change on that front?
Jeff Immelt: I still think that’s a good number for next year. I think the activity in the third quarter just bolsters that if anything. The fact that the orders have come back so I think that’s still a good assumption for next year.
Operator: Your next question comes from Scott Davis - Morgan Stanley
Scott Davis - Morgan Stanley: The 2.8% coverage number is definitely a sequential improvement. Where does that number need to go? Do you have a target is it just something you talk about with the auditors once a quarter? It’s tough to put context around it just because if you look at the banks they use much, much higher numbers.
Keith Sherin: You’ve got to take a look at the details of the information Jeff Bornstein presented when we compare ourselves to the bank. We have a dramatically different book in terms of our Consumer versus Commercial mix in terms of our global mix and certainly in terms of the types of assets we have in the real estate business those would be the three major reasons for a difference between their total provision percent and ours. We do not have a specific numbers; we put the reserves up that we need to based on the embedded losses in the book every quarter per the accounting. We had originally set out this year and said that we thought that the reserve coverage would go over 2% as part of the total year and we’ve achieved that through the third quarter. There is not a specific number. We review our reserves every quarter with our auditors and we don’t have a specific number its based on how does the portfolio performing, what are delinquencies doing, what are non-earnings doing and what reserves do we need based on the book performance.
Scott Davis - Morgan Stanley: To follow up on that a little bit, you’re building book value which is good but some would argue that you have an opportunity as you’re building book value to really take up provisioning up and be extra conservative you can always obviously reverse down the road if it proved the other way.
Keith Sherin: I live in the world with accounting guidelines and rules and we follow them to the tee. It’s not an exercise of well just book some extra reserves there’s a very thorough process and a very thorough review that goes into this every quarter.
Scott Davis - Morgan Stanley: I get it except the banks seem to be able to find a way to add a couple billion dollars here and there to reserves. Are they working on different accounting rules or is it just that you find yourselves to be more conservative?
Keith Sherin: I’m not going to comment on what the banks do versus what we do. I know that what we do is we follow a very rigorous process every quarter. We’ve got a lot of oversight on it and we’re trying to make sure we’re getting it right every quarter. The teams have every incentive to make sure they get it right.
Jeff Immelt: I think the transparency around GE Capital we believe in that. Another meeting in December after July and March. We want our investors to see what we’re doing and what the assumptions are and stuff like that.
Scott Davis - Morgan Stanley: Backlog is up $4 billion, do you guys calculate a book to bill number it looks like it would still be fairly negative even though backlog is up. Is there some sort of number that you tend to use? Another way to ask the question is when would you expect book to bill to be approaching one.
Keith Sherin: If you look at the orders chart that we showed you in here today you can see if you separate equipment from services you can look at the equipment revenues versus equipment orders the backlog on equipment went down $1 billion. You’re in the 85% book to bill on equipment basis something like that. I think we’ve got to see what the fourth quarter looks like. We think sequentially the fourth quarter is going to have higher equipment orders. Originally earlier in the year we thought we could end the year with somewhere around a $45 billion backlog it could be better.
Operator: Your next question comes from Jeff Sprague – Citi Investment Research
Jeff Sprague – Citi Investment Research: I wonder if we could talk about the portfolio a little bit. Obviously I’m sure your hands are tied somewhat around what you can say around NBCU. Looking at the big landscape here today you’ve shown a recommitment to GE Capital, or reaffirmed the commitment. We’ve got the very credible sounding speculation on NBC. There’s talk of the Areva T&D assets, there’s talk of security so it’s a complicated company that’s always a lot of balls in the air but it looks like there’s a lot more balls in the air than normal right now. I wonder if you could give us some view of how we should think about the portfolio say three or four years from now really what the company might look like and the path to get there.
Jeff Immelt: Let me try to put it in context. I want to stay focused on what’s known. If you think about GE we’ve got a strong long lasting commitment to Infrastructure you see talk about Areva and other investments we’ve made there and that’s very important for the company going forward. I think with GE Capital the vision we’ve expressed is that GE capital is going to be smaller, more focused, high return, connected to the core, things like that. We continue to execute along those lines. A lot of the speculation has been on NBCU and some way shape or form there’s been speculation around NBCU for a long time. The way I would say the company’s got a lot of cash so we’re in great shape overall. NBCU is a great franchise that’s consistently delivered income growth and cash pre-recession. It’s been a solid performer. We’ve always evaluated our portfolio and I think in the context of what I’ve talked about that we expect this to be a reset world and it’s a good time to be thoughtful about the portfolio. I really do mean that. The case of NBCU Avendi has been a great partner they’ve got a window every year to review their options for NBC. This year just wanted to be ready for several scenarios. One might be an IPO or another strategic partnership like the one we’ve had with Avendi. I don’t have a specific pronouncement or specific need for cash. In many ways we plan to operate NBCU over the long term or partner if that accelerates the growth of the franchise. I wouldn’t look at this as that much more than we what we’ve done in the past. I think GE Capital we’ve talked about, I think Infrastructure we’ve talk about, and NBC is the one that’s receiving the most attention right now. To a certain extent that’s logical just given the process that Avendi goes through each year.
Jeff Sprague – Citi Investment Research: As we think about the potential that perhaps do more M&A over time. I think you’d probably agree that the M&A track record on the buy side of things has been mixed over the last five to seven years. I wonder as you think about moving forward from here is there a change in focus, a change in how you measure these sorts of things planning for synergies, planning for growth, anything we can get our arms around when we think about the next wave of capital allocation.
Jeff Immelt: We want to be disciplined around the capital that we have. If you look at the franchises we have in Aviation and Healthcare and the big Infrastructure businesses that we have we’ve got good strong core teams that can execute on these plans. If we look at some of the ones that around like the Areva transmission and distribution business we’ve got a great strong core team that can execute on a transaction like that. We just want to be disciplined around all the investing that we do and there’s nothing different about that. I would say net, net though we’re going to generate a lot of cash industrially, we’ve got a lot of cash on the balance sheet that we put in place to protect GE Capital. I don’t think we need to do deals to grow the company in the future. We’ve got a great organic growth process and we’re only going to do them if they generate attractive returns for our investors. In some way, shape or form that’s been the philosophy we’ve always had.
Jeff Sprague – Citi Investment Research: Can you give us what the A&E gain is on a pre-tax basis?
Keith Sherin: For total 100% $550 million.
Operator: Your next question comes from John Inch - Merrill Lynch
John Inch - Merrill Lynch: I want to start with provisioning, is it your sense just based on market dynamics that this 2.8 number appears to be something of a cresting trend? I know if we go back to some these meetings you had thought provisions based on the commercial book were likely to rise through 2010. I’m wondering based on the loss experienced, stability in the economy where that basically sits now particularly given the strength in coverage?
Keith Sherin: It’s a great question we’re also thinking through. They’re up a little bit, the provisions in the third quarter versus the second quarter. It does include quite a bit of provisioning for the real estate business. If you look at the GE Money business the provisions are actually down a little bit based on the book shrinking and where delinquencies are globally. We’ll have to see how unemployment goes, I think the real estate losses on the debt book, the provisioning seem high versus a normal quarter to me. The fact that delinquencies are up a little bit in the core commercial book would say that you’re probably going to have to look at additional provisions there still going forward. It depends on unemployment on the consumer book. I think I feel like we’re at a pretty good rate here, we’re within a band anyway of what the provisions are going to be. It’s going to depend on unemployment and its going to depend on what happens in the commercial cycle. I think real estate is one that’s going to be over a long period of time. Whether we’re dealing with the debt book here we had a big increase in reserves in the third quarter. I’m not sure those are going to turn into losses. I think a lot of people are basically going to protect their equity in those properties eventually. Another factor that I think about are things like the timing of when you realize losses. If you look at the beginning of the year and our investment securities portfolio and the insurance business we had huge unrealized losses, that’s gotten better by $3 billion, in nine months. I think we’re at a decent provisioning run rate. I think there’s going to be some higher unemployment we’d anticipate, we’ll see how that affects the consumer book. Probably continued pressure in the mid-market book. I think real estate would come down on a normal run rate for the provisions we’ll have to see where impairments go on the equity side. If you look, our 2010 framework that we laid out on the base case and the adverse stress case for 2010 essentially losses are pretty similar to losses in impairments in aggregate are pretty similar to the 2009 look. We may be peaking but we’re not planning on losses going down dramatically in the next year or so.
John Inch - Merrill Lynch: As we think of capital in the framework going forward, let’s presume there’s some stability in lots of different areas with a few question marks. You tax credits are $0.27, $0.28 year to date versus the $0.74 the company has put up. I’m trying to wrap my mind around the way to think about this that the starting point once capital is normalized and begins to return to profitability do you have to make up that $0.30 year to date deficit to then begin to grow the company’s earnings from there or does the credit gradually bleed off? How does that work?
Keith Sherin: The best way to think about it is under the current legislative tax regime in the financial services earnings there’s probably about $500 million a quarter of credits related to our ability to invest in low tax investments or in countries with lower tax or benefits from our structural financing. We’ve said all along there’s probably about $2 billion a year of a structural tax benefit between GE and GE Capital globally. The question is will legislation change. I think the fact that the credits in 2009 are higher then that reflect the higher pre-tax losses. I don’t know whatever those are going to be based on the loss and impairments we have in GE Capital we can absorb those with the GE earnings that’s not a problem. Hopefully what our goal is that those losses go down as you go forward. I think you’ve got a structural amount that’s a benefit that will stay in place based on the current legislative regime and then you have extraordinary credits based on the losses that we’re going through in this credit cycle. Hopefully those won’t be needed.
John Inch - Merrill Lynch: You talked about the fixed charge covenant. Can you remind us if you look at where things are today and your expected trend of whether we talk provisions or whatever? What amount of money does the parent have to inject or may have to inject into capital just all else equal based on what you see today next year?
Keith Sherin: As you know, it’s a 10% cushion against the fixed charges in GE Capital. Roughly if GE Capital at $20 billion of interest cost you’d have to earn $2 billion pre-tax. In 2009 we’ve injected $9.5 billion of equity already. We don’t anticipate any scenario where in 2010 you’d put any more capital in based on the fixed charge covenant agreement. In 2010 if GE Capital performs in a similar manner to 2009 and we laid that out at the July meeting, we would anticipate somewhere between at the base case somewhere close to $2 billion up to $7 billion of capital that might be required in 2011. I don’t think there’s any capital required in ’10. Again it’s going to depend on how GE Capital performance unfolds during 2010.
Jeff Immelt: If you look at the Industrial CFOA with reduced dividend in the last quarter we generated $3 billion. That just shows the strength of the Industrial company.
Operator: Your next question comes from Christopher Glynn – Oppenheimer
Christopher Glynn – Oppenheimer: A couple more questions on capital, the guidance remains for Capital Finance to be profitable in the fourth quarter but you have $2 billion earnings year to date so in theory you could lose up to $2 billion. Can we narrow a little bit the framework thinking about the fourth quarter?
Keith Sherin: No. We’ve said GE Capital is going to be profitable for the year. We’re not forecasting any quarterly guidance.
Jeff Immelt: We like the way the team is executing. We really don’t see any change in the way the team is executing. They continue to do a good job in the environment.
Christopher Glynn – Oppenheimer: Cancellations in Equipment and Services those orders were called in significant, are you seeing anything by way of push outs that could actually be a tailwind in 2010?
Keith Sherin: I don’t know about a tailwind in 2010. As we said, we had around $200 million of cancellations in the quarter about half in Aviation, half in Healthcare. On the Energy side on the Oil & Gas side I don’t see it. The fact that the production tax credit has now been finalized and that you’re getting a department of Energy tax rebate for the wind project that’s going to be a real help to the industry I would say. We’re going to get some finalization around healthcare legislation here once that’s finalized and people understand the rules I think that’s going to be a help to the whole industry and help to our business. You’re seeing some pretty good activity in Oil & Gas globally; I think that’s a positive. In the Aviation space we would anticipate the air framers are going push out some of the production runs that they have and you’d have to anticipate lower equipment deliveries in 2010. I don’t know if that’s a new headwind that’s something we anticipate and would be planning on.
Christopher Glynn – Oppenheimer: Services push outs you haven’t really seen much of that?
Keith Sherin: I think you’re seeing it in the Aviation spares rate. You see the Aviation spare rate go from about 10% up in the first half down to 8% in the third quarter. I think people are definitely trying to conserve their cash and push their maintenance event to the latest possible point for them. Locomotives again with all the parked locomotives you could see that in the business in the locomotive business and Energy is going the other way. I think people are really over utilizing their equipment and with gas prices where they are that’s been the go to place for incremental power generation and that’s a positive for that business.
Christopher Glynn – Oppenheimer: Can you estimate how long you have this built in services backlog growth from the prior equipment cycle emanating from that?
Keith Sherin: I think there’s one indicator I’d say we have grown our Aircraft engine install base so dramatically over the last 15 years that 40% of the engines in the fleet haven’t even it their first maintenance event. It’s a massive install base that as there are flight hours there will be service revenues. You’re not going to predict a quarter but if you look forward that is an incredible install base that’s going to generate a lot of cash flow for us. The second thing I think about is the F-Turbine technology from the bubble from the 2000 period they’re all coming into their second maintenance cycle which is the heavier maintenance cycle than the first one. We built a massive install base of F-Technology and they’re using those units very aggressively so that’s a positive as well. Those would be the two biggest indicators I think about for the medium term and long term those are very positive for us.
Jeff Immelt: I would say that natural gas pricing being low really favors our energy installed base in a massive way.
Operator: Your next question comes from Steven Winoker – Sanford Bernstein
Steven Winoker – Sanford Bernstein: I want to have another couple questions on GE Capital. First, am I correct in interpreting the prior answers then that you’re expectations for peak charge offs are in 2010, middle half? How are you thinking about that?
Keith Sherin: I hope that’s right. In the environment we see today I would think that you’re running at a rate that’s pretty high. You’re going to have a little pressure from unemployment; I don’t know how that will change the consumer loss provisions. Right now they actually went down a little bit in the quarter, net charge offs were down a little bit in dollars because the portfolio. The consumer is definitely retrenching a little bit, de-levering. I think on the commercial side continued pressure in the mid market for us for a period of time, you saw non-earnings go up about $700 million. Is it dramatically different? I don’t think so. I think the one question is how long and over what period of time will this real estate cycle play out. I hope that happens the way out outlined it. In all our long term modeling we…
Jeff Immelt: Delinquencies are leveling; you just look at the charts. I would say even in real estate there’s been $50 or $60 billion raised by REATS and other funds. We see some of that starting to bleed through into the markets. There’s liquidity, I think delinquencies seem to be leveling but it’s hard to call exactly when that’s going to take place.
Keith Sherin: You know that when we look at this portfolio just with the passage of time somewhere between 2011 and 2012 these loss provisions are not going to be at these levels. A normal loss provision at a $650 billion balance sheet here was around $3.5 billion. We’ve got to work our way through it but you know this is going to turn and it’s going to be positive for us.
Steven Winoker – Sanford Bernstein: With market stabilizing, losses trending better than the Fed base case, why not deploy more cash into the market where you’re getting great pricing, and how are you thinking about that in terms of the right level of conservatism as opposed to letting capital have a little more leeway in parts of the business that you like.
Keith Sherin: Mike and the team have a green light on their core commercial finance activity on the middle market activity, on the things that are connected to GE. There’s no question that we’ve got a green light on that. On things that are not core and are things that are going to have a smaller percentage of the portfolio going forward we’re being very disciplined on it even if there’s an opportunity. I think it’s around what did we define as the core of GE capital and what’s important to us and where we have a competitive advantage going forward they have a green light. Right now there’s not an abundance of demand for CapEx. I think people are cautious in the mid market. We do have the capital, we are putting it to work there but again you’ve got to have really more demand to say let’s triple down on some of these areas. I think it’s going to take a little bit of the economy swinging to be able to really put more capital to work in some of the core parts. In other parts we’re being very supportive and aggressive.
Steven Winoker – Sanford Bernstein: On the Industrial side the organic growth rate I think was down 8% versus down 5% last quarter. I think I’m correct in that. As you think about that getting worse how does that turn looking forward and how much of it is pricing offset by pricing actions that you’ve taken this quarter particularly in places like Aviation?
Keith Sherin: Pricing as we said was pretty positive. I think Jeff mentioned if you look at the dynamics of orders versus shipments and the backlog position that we think we’ll end the year with. If you could have industrial revenue down 10% to 15% you’re going to have organic revenue declines in 2010. I don’t have a quarterly profile but as an overall view for the year that would be a framework. We’re just about to go into our budget sessions, we’re going to go in and do detailed operating reviews with all the teams and we’ll have a better update of that for you in December. Right now that comment that we had about revenue being down 10% to 15% on the Industrial side is the way think about it.
Jeff Immelt: A lot of what drives that is long cycle businesses. We were outperforming let’s say early in the down turn. I think the thing that’s been pretty consistent has been services. That again I think always provides the really underpinning for our Industrial profitability. That I think has performed pretty well through this entire cycle.
Keith Sherin: It’s a great point when you look at the Equipment services mix if you think about the last three years we’ve been talking about building the install base and we had negative up profit because equipment growth was growing three times faster then the services revenue. That’s really turned in 2009, will probably continue in 2010. The revenue in equipment third quarter year to date is down 11% and the revenue and services basically flat and the op profit is positive in services. I think it shows the strength of this install base in the services model.
Jeff Immelt: We took a lot of beatings from you guys the last few years while we were growing this install base but I have to say it does show the robustness of the business model.
Operator: Your next question comes from Terry Darling – Goldman Sachs
Terry Darling – Goldman Sachs: I wonder if you could help calibrate some math here on the prior commentary of Industrial operating profit, ex C&I, ex restructuring flat ’09 versus ’08. I’m not hearing anything that changed that framework, is that correct?
Keith Sherin: I think for the total year that’s pretty close. Remember the one thing you’ve got to add in there is the industrial taxes because the industrial segment profit is on a pre-tax basis so that’s a little complicated. Overall third quarter year to date its down seven but in the fourth quarter last year we had quite a bit of restructuring and on a total year basis we’re going to be probably close, it will depend on how much restructuring we do in the fourth quarter.
Terry Darling – Goldman Sachs: Thinking on a pre-restructuring base which is the way the framework was calibrated previously I think that implies, if you look at the year to date on that and back that out and what the fourth quarter sequential improvement implies, you’re typically out very sharply in industrial profit 4Q versus 3Q but it looks like $1.5 billion sequential improvement. I wonder if I’ve got my math right there.
Keith Sherin: You’re talking about the Energy Infrastructure plus Tech plus NBC category not the restructuring category?
Terry Darling – Goldman Sachs: I thought the frame work of flat ex restructuring ex C&I.
Keith Sherin: We showed you that. If you look at 3Q year to date its up 3% for the Infrastructure business then Media has performed less favorably then what we thought this year. Its clear and overall right now 3Q year to date we’re down 3%. We’re not giving guidance on a quarterly basis or an annual basis so we’ll see how the thing plays out. You can see the framework 3Q year to date where we are and we’ll have to see how it plays out in the fourth quarter.
Terry Darling – Goldman Sachs: A similar question talking about GE Capital pre-provision, pre-tax, if we go back to the slide in the July presentation and one that Jeff rolled out at Electrical Groups Conference under the Fed base case pre-provision, pre-tax $11.1 billion on the adverse case $9.2 billion if you think about what you’ve done year to date on that and maybe I’m not clear as to where impairments fall in that discussion but it suggests under the adverse case pre-provision moves to $3 billion in 4Q and under the base case be $5 billion. Can you clarify how we should be thinking about that?
Keith Sherin: I’m not exactly sure which basis you’re going off of. Basically for the Fed base case for the total year we had about a $400 million pre-tax, pre-provision loss at GE Capital Finance.
Terry Darling – Goldman Sachs: I’m thinking before credit costs.
Keith Sherin: Pre-tax, pre-provision we had a $400 million loss for the year in the Fed base case. If you look that doesn’t include the costs associated with the Capital Corporate which is probably about $700 million and then the fact that we’re a lot smaller then we were expected to be is probably about $500 million on that on a 3Q year to date. That’ll probably continue as you go into the fourth quarter.
Jeff Immelt: I want to reiterate one thing Keith said is that we are shrinking GE Capital faster then we had planned. We think that’s on strategy and as we do that the GE Capital revenues decline accordingly. These are things we’re doing proactively that are on strategy where we view this as being a positive execution point.
Operator: Your next question comes from Jason Feldman – UBS
Jason Feldman – UBS: Following up on that point, I certainly understand the long term strategic reasons for shrinking GE Capital. Earlier on this call we were hearing about credit costs are likely to remain relatively high, at least through next year and beyond that a separate issue. Any concern that this less ability to handle those losses within a smaller pre-tax, pre-provision earnings base going forward? It could be partially counterproductive to do that and shrink the portfolio this quickly.
Keith Sherin: We think we can manage through both pieces. Jeff Bornstein laid out the 2010 cases and we know the side GE Capital that we’re talking about in there and we’re planning on doing that. You’ve seen some of the positives for us in terms of the lower costs that’s certainly been better than what we laid out. We started with two and getting close to $3.5 to $4 billion of improvement in SG&A. We do have some benefits from some of the acquisitions we’ve done like the VAC transaction that’s a positive in terms of the total earnings for the company. We’re going to have to work our way through the losses and impairments. We think we can do that based on the size of GE Capital and manage this thing in a very safe and secure way. We’ll give you more details of that in the December meeting. Like I said we’re just going to go into the operating plan for next year with all the teams and Jeff and Mike Neal and Terry and that team are going to do that as well.
Jason Feldman – UBS: Shifting over to the Energy business, not surprisingly a lot of the order activity recently seems to be coming from the Middle East. How do you see things playing out in the United States for both gas turbines and wind given the regulatory uncertainty? It seems like there’s going to be some stimulus boost next year particularly on the wind side, the PTC extension. Is a real rebound in a sustained way there really dependent on what happens with the economy or is it Federal energy policy that’s really the big question going forward?
Jeff Immelt: I think its both to a certain extent. Energy is just one of those businesses that looks a little bit at the economy and also public policy at the same time. I think wind is certainly going to be helped in the next 18 months by the stimulus and the production tax credit and things like that. I think the great news for us is that almost every scenario gas is going to be a winner. I think the finds of shale, gas and the basic cost makes it the fuel of choice, environmentally by our customers. We’re seeing some good activity around gas.
Keith Sherin: Wind also, wind the production tax credit there’s definitely a demand for it. We need the economy to pick up a little bit in terms of energy demand in total. I think you’re going to see some pick up there.
Jeff Immelt: You’ll see from us in the fourth quarter a couple sizeable commitments on wind.
Jason Feldman – UBS: On the Medical side, I’m sure we’ll hear more about this Tuesday and we’ve heard quite a big about the emerging market opportunities. In the United States, again you’ve got economic and regulatory uncertainty. With healthcare reform being considered in Congress how concerned are you that some of the headwinds at least on the imaging side are going to wind up more permanent as opposed to temporary. Energy seems very temporary and it’ll get better we just need some certainty. With healthcare though do you see a different set of risks there?
Jeff Immelt: You guys are going to hear a lot on this next week. In healthcare we are some of the most difficult times right now I would say just because it’s all unknown, it’s up in the air. You have the combination your point of capital markets plus tough economy plus regulatory uncertainty. I would say, you’ll hear this from John next week, in theory if there’s some kind of reform the volume in theory should pick up. There will be a negative whether its reimbursements or some negatives in there. Wherever the stimulus goes in areas like healthcare IT and how those all wash through I think remains to be seen. The installed base age of basic imaging equipment is at the highest point today then in any time in our history. Over some period of time that washes through.
Operator: Your next question comes from Bob Cornell – Barclays Capital
Bob Cornell – Barclays Capital: You guys talked about pricing being a benefit in a couple areas and I was wondering if you’re really talking about pricing that’s been embedded in backlog that was put in place in the market a year or so ago and what the outlook for pricing would be going forward?
Keith Sherin: The price numbers that I gave associated with revenue were for actual sales. If you look across the businesses, energy new orders that I mentioned the price index was up 4%. If you look at Aviation the price is up 2%. I think the one play where we’re seeing continued price pressure was healthcare was down about 3%. I think if you look at Energy, Oil & Gas, Aviation, we’re still seeing good pricing and it requires good technology, it requires us to continue to invest in technology and have the product that people need and that’s what’s going on globally.
Bob Cornell – Barclays Capital: On the cash flow number you gave us a year to date walk but not specifically the third quarter walk; at least I didn’t see it. How do we get to the free cash number of $4.4? Are we looking at the progress payments turn around for you, was it the inventory tightness, what drove the free cash flow number up there?
Keith Sherin: If you look in the quarter we had net income plus depreciation plus some timing of tax payments plus working capital. You put the four elements together is $4.4 billion. We only had $1.1 billion of dividend payment so this is the first quarter as you know where we had to cut the dividend, we did it, its going to be helpful to the company in total but now we’re going to start accumulating that cash. I think the teams we have an operating council where we’re meeting every month, we are looking at every element of working capital for every business. We have commitments and targets, we have plans and programs and we have a lot of oversight and review on it and the teams are doing a good job on it. For the year we’ve had a $3 billion year over year impact on progress and we’ve offset that with our working capital benefit.
Bob Cornell – Barclays Capital: Favorability negative.
Keith Sherin: Year over year in terms of cash flow. The progress balances themselves have stayed relatively flat. The teams have offset that with receivables and inventory and payables work. I think it’s really helped.
Bob Cornell – Barclays Capital: You mentioned the gains in the A&E were there other gains of meaningful amount in places like Aviation for example or even in Capital?
Keith Sherin: I said we had about $15 million in gains in real estate, it’s the only thing that I have across the portfolio. I have the A&E gain.
Bob Cornell – Barclays Capital: And the $15 million of the real estate gains.
Keith Sherin: Right but that’s embedded in there in their total loss of $500 million, significantly less than last year.
Operator: Your next question comes from Nigel Coe - Deutsche Bank
Nigel Coe - Deutsche Bank: I wanted to dig into the Energy Services growth 16% up you talked about some utilization on the gas turbines and four fleets coming in four second overhaul. Do you think that’s sustainable, do you think double digit growth is sustainable given some of the trends you highlighted?
Keith Sherin: Third quarter for the total Energy business was up 9% and as I said services were up 16%. They’ve built an incredible install base. We are coming into a better cycle on the F-Turbine technology in terms of continued maintenance. They’ve got a good CSA backlog, the customized services agreement backlog and strong global contracts. I think if you have high single digit revenue on a period of time that’d be great.
Nigel Coe - Deutsche Bank: On the consumer delinquencies again the trend was very encouraging. Given that the outlook for 2010 given the base case economic forecast for unemployment do you think this is speed bump in a trend or do you view this as something more sustainable?
Keith Sherin: As I sit with the teams, as I sit with the teams that are working on the consumer business and separate it between the mortgages and the rest of the unsecured portfolio I think the team in the US has done a good job. We acted early, we cut the credit lines that were open to buy, and we’ve increased our standards in terms of who gets credit. We’ve got a very disciplined approval process, we’ve improved our collection process. The US consumer is retrenching. I think our entry into delinquency continues to show very favorably. Once you get into delinquency if someone has a individual financial problem of employment or healthcare they can end up going right through to write off. The entry rates are good. I think we do expect unemployment to go higher, that will have its related impact with us. I feel very good about the progress we’ve made here. To me it depends here on macro economics and what’s going to happen on unemployment in the US. The business is running well. The mortgage business I think we’ve made a lot of progress. I think we’ve seen the delinquencies stabilize in the UK that’s the biggest portfolio obviously. I think the house price information in the UK is very positive. We are doing a good job of collections and managing the accounts, if we have to go into foreclosure we do it, we mark those things at 364 days, we mark it to the market value and we’re realizing a 15% gain above those market values on houses that get to that point. I think the loss framework is well understood and again the delinquencies rolling over on that mortgage book are very positive for us. Its at a high level we’re going to have pressure, we’re going to have to work through it but I feel pretty good about that.
Nigel Coe - Deutsche Bank: You interest in Areva is interesting. How do we view this? Do we view this as somewhat opportunistic a great asset on the market. If you were miss to express interest, have you come to the conclusion that T&D or a bigger presence in T&D is critical for GE going forward?
Jeff Immelt: We like the energy space. The whole notion around Smart Grid and emerging markets changed the dynamics around that industry and this is an opportunity that’s out there that we should really review very seriously.
Nigel Coe - Deutsche Bank: Let’s assume that GE Capital pre-tax losses and the profile of the losses are the same year on year in 2010 would you expect similar tax credits as this year?
Keith Sherin: I mentioned earlier I think there’s an amount that’s relatively structural that’s close to $500 million a quarter that we would expect to continue. I think if you have pre-tax losses that can be absorbed by GE those will be absorbed and that’s not a problem. This year you remember in the first quarter we had a one time decision to permanently reinvest some of our overseas earnings, I don’t know whether that would occur again, that was a one time item that was $700 million. If you look in the Q we are negotiating and working on settling our open years with the IRS and those could have a positive impact. I don’t know when those would hit but they could settle in 2010 maybe being a partial offset to the onetime item that we had this year. That’s a lot of uncertainty; I don’t know how to predict it. Those are the categories of things that I think about.
Operator: Your next question comes from Daniel Holland – Morningstar
Daniel Holland – Morningstar: Can you guys walk through the margin improvement that you’re seeing in the Infrastructure segments and quantify the benefits that you might be seeing from some of the previous restructuring activity?
Keith Sherin: Two places I’d look at are the charts early in the pitch, the number one place where you see the benefits of the restructuring that we’ve done was on page eight base costs are going to be down 10% this year. It went from $44 billion to $40 billion and that is a lot of work that the teams have done across the company to reduce our headcount, to consolidate operations to get common back offices, to reduce our cost footprint. Clearly the restructuring that we’ve done in prior periods and that we’ve invested in this year which is outlined on the chart is paying off. In terms of the margin improvement, on op profit the base costs are certainly been a part of that but in addition it’s the equipment services mix. On a year over year basis through three quarters about 60 basis points of that improvement in margin comes from the fact that the equipment services mix is turned as I went through a little earlier.
Daniel Holland – Morningstar: Did you guys do any real estate transactions in the quarter?
Keith Sherin: As I said, we actually sold some properties. We sold about 72 properties for an after tax gain of $51 million if that’s what you mean. I’m not sure of what other transactions we did.
Daniel Holland – Morningstar: Any purchases?
Keith Sherin: There’s no purchasing going on in the real estate space right now. The team is totally focused on managing this portfolio. We do have some obligations in some of the partnerships where we may have to provide capital on a schedule and we had some of that. Real estate was basically flat quarter two to quarter three.
Trevor Schauenberg: I’d like to close by announcing three upcoming events for everyone’s calendar. As a reminder we will host our GE Healthcare Analyst Meeting on October 20th next week. Please visit our investor website for information regarding this event. We will also host our third GE Capital event of the year, it will be a webcast held on December 8th. We will send out details a little closer to that event. Finally, the Annual Outlook Investor Meeting with our chairman and CEO in New York City will be held on December 15th, again more information will be sent out closer to that event date. The replay of today’s webcast will be available this afternoon. As always Joann and I are available today to take your questions.
Operator: This concludes your conference call. Thank you for your participation today. You may now disconnect.